Operator: Good morning. My name is Robin, and I will be your conference operator today. At this time, I would like to welcome everyone to the first quarter fiscal 2014 earnings call. [Operator Instructions] Thank you. I will now turn the conference over to our host, Ms. Katharine Kenny. You may begin your conference.
Katharine W. Kenny: Thank you. Good morning. Thank you for joining our fiscal 2014 first quarter earnings conference call. On the call with me, as usual, are Tom Folliard, our President and CEO; and Tom Reedy, our EVP and Chief Financial Officer. Before we begin, let me remind you that our statements today regarding the company's future business plans, prospects and financial performance are forward-looking statements that we make pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These statements are based on management's current knowledge and assumptions about future events that involve risks and uncertainties that could cause actual results to differ materially from our expectations. In providing projections and other forward-looking statements, the company disclaims any intent or obligation to update them. For additional information on important factors that could affect these expectations, please see the company's annual report on Form 10-K for the fiscal year ended February 28, 2013, filed with the SEC. [Operator Instructions] For your information, we also do still have a few spots open on our July 11 regular Analyst Day. Thanks so much. Tom?
Thomas J. Folliard: Thank you, Katharine. Good morning, everyone. Thanks for joining us today. As you saw, used unit comps for the first quarter grew 17% compared to last year. When you add in our non-comp stores, total growth in used units was 22%. This comp unit sales growth was due to an improvement in conversion supported by the continuation of better execution in our stores and a more favorable credit environment for the consumers. Total used vehicle gross profit grew by 22% and used vehicle gross profit per unit of $2,216 remained stable with last year. Wholesale unit sales increased by 6%. This was largely due to the growth in our store base and a somewhat higher buy rate. At $979, our wholesale gross profit per unit was virtually unchanged from a year ago. Extended service plan revenues rose 26%, reflecting not only the growth in used unit sales with an increase in penetration as more customers decided to take advantage of our MaxCare offering. CAF quarterly income increased 16% to $87 million. Tom will give a little more detail on that in a moment. And all these factors contributed to a record quarter for CarMax with an increase in net earnings of 21% to $147 million and an increase in net earnings per diluted share of 23% to $0.64 a share. With that, I'll turn it over to Tom to give a little more detail around CAF.
Thomas W. Reedy: Thanks, Tom. Good morning, everybody. In the first quarter, CAF income grew $12 million or 16% compared to our first quarter fiscal 2013, while our average managed receivables increased 21% to $6.2 billion. This portfolio growth was largely driven by strong origination volume over the last several quarters, which was supported by the expansion in CAF penetration, CarMax's sales growth and increases in the average amount financed. The growth in managed receivables outpaced earnings growth as the increase in loan volume was offset by the continued compression and spread between consumer contract rates and our funding costs. Weighted average contract rate for accounts originated in the quarter decreased to 7% compared to 8.9% in last year's first quarter. Remember, this has been occurring for over several quarters and the rate is down only slightly from Q4, which was at 7.1%. At these levels, finance margins remain strong and we believe our offers continue to optimize overall sales and profits for CarMax. The allowance for loan losses grew by $14 million or 31% to $61 million, and credit losses in the quarter were moderately better than our expectations. Consistent with experience over the past several quarters, over 90% of our customers received one or more finance offers. During the quarter, we did see a greater applicant flow at the top and bottom ends of the credit spectrum, which supported higher penetration for CAF and for our third-party subprime lenders. For CAF, net loans originating in the quarter rose 42% to over $1.1 billion, and net penetration was 41% compared to 36% in the first quarter of FY 2013. We believe this increase in penetration was due to higher applicant flow, higher conversion arising from both more attractive offers and better in-store execution and also greater retention of our finance customers as we observe continued low 3-day payoffs. Third-party subprime providers accounted for about 21% of our sales in the first quarter compared to 16% in last year's first quarter. We believe this increase is due to combination of factors: The higher volume of applicant flow I mentioned earlier; a higher conversion to sale due to more attractive offers from those subprime providers and to greater execution by our stores' associates; and some shifting of sales from the fourth quarter of last year to the first quarter of this year due to the delay in tax refunds. Now I'll turn it back over to Tom.
Thomas J. Folliard: Thank you. As far as mix in the quarter, sale of 5-year old and older vehicles as a percentage our total sales remained above 25%, very similar to last year. Sales of SUVs and trucks were also consistent in both periods at about 25% of total sales, as were sales of compacts and midsized vehicles at about 38%. As we've discussed before, our mix of vehicles will vary based on customer demand. We reported solid overhead leverage for the quarter. Total SG&A increased by 14%, reflecting the 12% growth in our store base and higher variable expenses related to higher sales. SG&A per unit fell by $131 to $2,086 per car, driven by our 17% comp sales. In the first quarter, our average monthly web visits grew to 11.5 million, up more than 28% compared to last year's first quarter. Average monthly visits to our mobile site represent about -- now represent about 20% of our total visits. And visits utilizing our iPhone or Android app grew to nearly 9% of our traffic by quarter end compared to approximately 6% at the end of the fourth quarter. So those 2 combined, around 30% of total hits now to carmax.com. During the first quarter, we opened 3 stores, all in new markets: One in Harrisonburg, Virginia; 2 in Georgia, one in Columbus, one in Savannah. Just this week, we opened our fifth store in Houston, so that will be the second quarter, and we plan to open one more store in the second quarter, which will be another store in our Sacramento market. You may have also seen our press release. We announced 4 planned superstore openings for next year's first quarter: 3 are in new markets for CarMax, including Rochester, New York; Dothan, Alabama; and Spokane, Washington; and we will also open a store in Harrisburg, Pennsylvania. At this time, we'd be happy to take your questions. Operator?
Operator: [Operator Instructions] And your first question is from the line of Craig Kennison from Robert W. Baird.
Craig R. Kennison - Robert W. Baird & Co. Incorporated, Research Division: Given the strong performance you've seen this quarter and the last few quarters, would you or the board consider accelerating your new store growth opening plan?
Thomas J. Folliard: We feel pretty comfortable with the growth plan that we've announced for the next few years. As we've talked about in the past, we tried to pick a growth plan that would allow us to both aggressively grow our store base and at the same time, continue to work hard on improving execution, which -- we've seen some great execution improvements here in the last year or so. We've made great progress on the last couple of years on cost reduction and our reconditioning area. We still think we have a little to go there, so we feel pretty comfortable with the growth pace. We think it's both aggressive but at the same time, allows us to continue to improve the existing business model.
Operator: And your next question is from the line of Matt Nemer from Wells Fargo.
Matthew R. Nemer - Wells Fargo Securities, LLC, Research Division: I'm just wondering if, Tom, if you could talk to the factors that you think are driving improved conversion and execution in the store, if there have been any process changes or anything else you can talk to.
Thomas J. Folliard: You know what, it's not really any one thing. We have a really terrific and dedicated group of associates that have worked on training and development for a long time, but I think that's more of a marathon than a sprint. So we've made tons of progress in the stores with specific training for both our sales consultants and our sales managers. And we have more to work with, with the favorable credit environment that Tom mentioned and about 90% of our customers are receiving an offer from one of the lenders, so there's a little more work with there. We have more tenure now in our sales consultant organization in general. We've just been around for a while. Some of our older stores have folks that have been with us for 10 or 15 years. So I just think it's a long, long process, and I think some of our efforts in training and development are really starting to pay dividends.
Matthew R. Nemer - Wells Fargo Securities, LLC, Research Division: Or maybe you could -- is there anything you can highlight that's changed in the last quarter or 2 in terms of learnings from the next-gen store that you've sort of rolled out to the older stores?
Thomas J. Folliard: No, there really hasn't been anything that we have rolled back yet. So this is all just again continuous improvement and continuous effort across a very big base of associates. And we're very proud of their efforts and clearly, it's paying some pretty good dividends.
Operator: And your next question is from Sharon Zackfia from William Blair.
Sharon Zackfia - William Blair & Company L.L.C., Research Division: A question on CarMax Auto Finance. I guess it's a two-pronged question. I mean, obviously, the penetration there is extremely good at this point. I think in the low 40s, it's probably the highest that I have remembered seeing it. So if you could talk about kind of how high is high for CAF penetration, I mean, how much further can you push that? And then secondarily, this is the first quarter, I think. I know we've been seeing the tightening spreads, but this is the first quarter where CAF income actually lagged in growth relative to revenue. And is there something, as we think about going forward, the impact of those spreads, should that gap widen? It's just we're all retail analysts, so if you could help us think about the finance income component of the equation going forward with the tightening spreads.
Thomas W. Reedy: Sure. I'll give it a shot, Sharon. As far as how high it can go, that's really going to depend on the applicant flow we see coming in the stores and applying for credit. With our current buy box and testing we're doing now, we're very comfortable with the spectrum of credit we're buying. We're not actively pushing super hard to go further downstream. But I would point you back to years past where we had a partner in the Tier 1 or the prime space with BofA when we saw higher than 42% in penetration in Tier 1. So it's really a matter of what the mix is coming through the door as what we can achieve on that front. As far as the tightening of spreads, it's something we've been talking about for a number of quarters. And as we've talked about, it takes a couple of years for the impact of any change in our profitability or behavior to kind of work itself through the system. And so I think it's not a surprise to us that the income growth is lagging, the revenue growth from CAF. In fact, I think we were expecting that as the spreads have tightened. And I would just encourage you to look at what we're originating and you can look at the public deals that are out there, you can see the exact spreads that's in every deal that's out in the public market. You can see what we're originating every quarter with the metrics that we're giving you and get a feel for what the portfolio is doing, and look at it over time and see what will -- what should happen.
Operator: And your next question is from Brian Nagel from Oppenheimer.
Brian W. Nagel - Oppenheimer & Co. Inc., Research Division: I've got a couple of questions I'm going to kind of lump into one. But first off, maybe just an update on kind of where your thinking is at the SG&A leverage point now. Because in the quarter, we saw the sales obviously accelerated very nicely, SG&A spending picked up as well. So maybe as you look at -- if we at the balance for this year, kind of where that leverage point is? And then second part of the question kind of goes back to our prior question, but as we think about the 17% used unit comp here, you called out your conversion is improving, but you also mentioned, I think, in the press release about maybe a benefit from the delayed tax refund. So the question out there is how should we think about the near-term sustainability of that 17% comp, particularly with comparisons getting maybe a little more challenging here over the next couple of quarters?
Thomas J. Folliard: What was the first part again?
Brian W. Nagel - Oppenheimer & Co. Inc., Research Division: Leverage point in SG&A.
Thomas J. Folliard: Leverage. We haven't thought differently -- we don't think any different about leverage than we did before. We have aways said that we needed, in a growth mode, mid to high single-digit comps in order to achieve leverage. Obviously, 17% comps is going to provide some pretty good leverage. So our thoughts on leverage aren't really much different than they have been in the past.
Thomas W. Reedy: Yes. I guess one thing to point out though, if you look at the growth in SG&A year-over-year or even this quarter versus last, I think we're seeing a similar amount of dollar spend on new stores and growth than we were last year. And in years past and when we started growing, we were on accelerating plane. So we're at a point today where we're looking back over quarters where we're -- since we're opening a more consistent amount of stores, we're looking it back at kind of less incremental inefficiency seen in years past, so the more similar amount of inefficiency due to the growth.
Thomas J. Folliard: And then just as far as the quarter and impacts from tax returns moving, if you look at the 2 quarters combined, we don't really think it had any impact on our sales, so there's a little bit of shift from first quarter to second. It's really hard to say what's sustainability of comps. What you mentioned is a very good point, which is this quarter had a pretty easy comparison, the back half of the year has much more difficult comparison. So we never really to wrapped up on one quarter comps. We try to look at it over a much longer period of time. So obviously, the back half of the year has much more difficult comparisons. But where we're obviously very pleased with how the quarter came out, again, our stores did a terrific job of executing and we had a pretty good comp number.
Operator: And your next question is from Simeon Gutman from Crédit Suisse.
Simeon Gutman - Crédit Suisse AG, Research Division: Also, a multi-part question. The comp back on the comps, I mean, the growth was superb and we've talked about it a little already about some of the drivers. Can you try to shed some maybe more detail, better credits? I think you said, Tom, that the cars 5 years and older or above 25, but how are they changing beneath that if there are any changes? I think you said better training. And then just part of all that question, I don't think the industry is growing quite as fast as what you put up this quarter. Do you think that there's some brand effect here, the brand is more recognized, that the proposition is just better understood by the market, so the market share gains should accelerate going forward?
Thomas J. Folliard: Well, we don't want to freak out over one quarter. So I mean, we had a great quarter of growth, but it's just one quarter. Again, we're very happy with it, but I wouldn't look at this and say well now we're going to grow 20% every quarter going forward.
Simeon Gutman - Crédit Suisse AG, Research Division: Okay. And then within the credits here -- I mean, within the age of vehicles with the 5...
Thomas J. Folliard: The age of vehicles, we really didn't see much change. We -- our mix this quarter was very similar to last quarter. There really isn't anything you can look at in this quarter and point to one variable and say, "Oh, there's the big difference and that's why comps accelerated." I think it's a result of continued and long hard work by our store teams to continue to get better at what they do everyday and it's really just starting to pay off. There's no silver bullet in the quarter to say this variable changed dramatically and therefore, we've got an extra x amount of comps. I think it's just a continuation of a great consumer offer. And you mentioned our brand. I do think our brand is getting stronger, but I don't think it's like we flipped the switch on brand awareness in the quarter either. I think, again, that's a very long-term build that we've been working on for 20 years.
Operator: And your next question is from Aram Rubinson from Nomura.
Aram Rubinson - Nomura Securities Co. Ltd., Research Division: Two quick ones, if possible. One, wondering if you can give us what percent of originations you wrote, kind of at APRs, kind of net sub-3, just trying to get a sense of where you are on that financing equation. And then also just on a waterfall basis for conversion rates, are there things that you can kind of look at from traffic to test drive to trade to credit app and approval of where that waterfall is developing?
Thomas W. Reedy: Sure, I'll talk about the waterfalls. Well, I mean, we look at traffic coming through the door. Obviously, we improve because of conversion not because of the traffic. But we're seeing our associates in the stores do a better job of engaging the customers. We're seeing more test drives per customer. We're seeing more credit apps for customer and we're seeing, as we talked about on the finance, better conversion of those credit apps, both in the CAF space and in the Tier 3 space. And that's partly due to what's going on in the stores because you can't discount how difficult it might be to get a Tier 3 customer done and to accept that offer, to do so more difficult sales, but also because of the attractiveness of the offers that both they are providing and the CAF has been providing relative to past years.
Thomas J. Folliard: Yes. And Aram, it's not something you -- again, it's the same thing you can't point your finger at one thing and say that's what did it. But I think another factor that we haven't discussed yet is our web traffic was up 28% year-over-year. And I think obviously, consumer behavior has been shifting and changing over the years, and people are doing more and more research before they come to the store. They're more prepared when we get -- when they get there. So I think our carmax.com is a terrific website with a great search engine and great pictures and a great way for the customer to educate themself on the brand and what we have to offer and the quality of our cars. And then when they show up at the stores, they're getting a terrific consumer experience. So I think customers -- again, it's just a belief, but I think customers that show up at the store are more prepared and maybe more likely to buy than they have been in the past because our brand is stronger, our website is very strong and people are doing a lot more research before they get there. And then, you top that with 9 out of every 10 customers who applied for credit are getting an approval of some kind from one of our -- from at least one of our lenders, and it just gives our associates a lot to work with, so I think it's a number of different things.
Operator: And your next question is from Matt Fassler with Goldman Sachs.
Matthew J. Fassler - Goldman Sachs Group Inc., Research Division: My primary question relates to credit. So APR is -- have obviously been coming down both for you and across the market for your competition. And that's been extremely reasonable as cost of funds has been kind of historically low. If you think about your perspective on the history of your credit business, looking at 18 to 24 months, in periods when cost of funds stops coming down or maybe it starts to drift up a little bit, what kind of flexibility does the industry have or does -- or what kind of prerogative does the industry take to drive those APRs higher? Does that happen or does it the world just essentially tolerate a lower spread?
Thomas W. Reedy: I think we'll know when we see it. I can't be predictive about it. But I think in the past, what we have seen is in time periods when rates are dropping, the customer rates had been sticky and not dropped as fast and vice versa. If rates were going up, that the market has been hesitant. Depending on competition and other things going on, it's going to hard to chase them upwards. So if we see rates increasing, you'd expect some additional compression until the market adjusts. How fast the market adjusts and to what extent, it's going to be dependent on factors at that point in time. We've been fortunate recently, but in the past couple of quarters, we've seen a movement in our ability to convert customers by providing more attractive rates, and that equation is good for CarMax. So we're going to constantly be testing that. We're going to make sure that we have a competitive offer for our customers at CAF because we're the only person in this space, and we don't want to sour people on CarMax because of credit. And we'll just continually try to make sure that we're competitive in providing best offers we can.
Thomas J. Folliard: And remember, our consumer offer is unique in that the customer gets like an unfiltered view of the credit offering from the lenders that we provide, so we're really just going to move along with the competition. But I think as a consumer, it's a great environment to fill out a credit application, have it looked up by several lenders and they all operate in a competitive environment. And we have to move along with our -- along with the competition. So when you ask what's going to happen when the cost of funds go up, it's going to be largely dependent on what everybody else does. And we want to sell as many cars as possible and give the consumer the absolute best chance to buy a car from us, and that's always going to be our goal.
Aram Rubinson - Nomura Securities Co. Ltd., Research Division: I guess, if there's a direct follow-up, it's what happened last time as best you recall. I mean, we're trying to look at this on our own, but if you think -- I don't know how many years ago it was when you could think of similar situation where maybe [indiscernible]
Thomas J. Folliard: I'll just tell you, Matt, in general, in a rising cost of fund environment, in general, spreads tend to shrink. And in a lowering cost of fund environment, spends tend to widen. I mean, over 20 years, that's what we've seen. If cost of funds go up, we see a little -- we see it shrink a little because rates don't raise as -- go up as fast as cost of funds and it's exactly the opposite on the way down. So that's what we've seen in the past, but we're not making any prediction about what we'll see going forward.
Operator: And your next question is from James Albertine from Stifel, Nicolaus.
James J. Albertine - Stifel, Nicolaus & Co., Inc., Research Division: If I could ask a quick question on the inventory side and supplies side of the equation here, I noticed the cash build from the fourth quarter into the first quarter and understanding your comments in prior quarters that there were some opportunities to sort of buy ahead of demand as it were. But I just wanted to get your sort of update on where you think the supply is shaking out from a pricing perspective, as well as a forward look, if you will, on a gross profit per unit and how much you can hold in a sort of declining wholesale price environment.
Thomas J. Folliard: Well, I can only point to our history on that and we've done a pretty good job of managing through both appreciating and depreciating environment as far as keeping our margins stable. Hopefully, we will be able to do that going forward. The first quarter -- I mean, the fourth quarter, I'm sorry, was really a little bit unique and we talked about it some at the end of the last call because the change in inventory year-over-year was driven by some conservatives in the year prior, and then a little bit more aggression in the fourth quarter. But since then, we've been running our inventory levels kind of in line with our sales and where we want to be. So we're pretty comfortable where our inventory is. We're obviously pretty comfortable with pricing as we were able to maintain our margins during the quarter. And the depreciation that we're seeing now in the marketplace, I don't want to say normal because I'm not sure what that means anymore, but it's a little more normal kind of from what we saw, say from '02 to '08 prior to the recession. We always see cars appreciate a little bit in the beginning of the year and then tend to decline, heading towards the end of the year -- end of the calendar year. So I think as supply starts to come back and we see a little bit more of a normal turn, we'll be in an environment that is actually a little smoother than what we've seen in the past. We've seen some massive volatility in both depreciation and appreciation, and we've done a pretty good job of managing through that. So if it's a little smoother, hopefully, it will be easier for us to manage through.
Operator: And your next question is from Rod Lache from Deutsche Bank.
Dan Galves - Deutsche Bank AG, Research Division: It's Dan Galves for Ron. Just had a question on -- a little bit more detail on the really strong comps in the quarter. Now that you have 5 stores that opened in fiscal '12 that are part of the comp, can you give us a sense of how those are performing, where the same comps for those stores better than the overall?
Thomas J. Folliard: Yes. We don't -- we won't break it out in that much detail, Dan. But what I would tell you is that since we've restarted growth, if you look at the collection of stores we've opened in the aggregate, they're all performing at or above our expectations. So we're very happy with the stores that we've been both building and opening since coming out of the recession, but we don't break it out in that level of detail. Once they become comp, they're into the total average. And as we've talked about before with our model, we expect bigger comps in the early years of a new store, particularly in a new market. It's a little bit of a different equation when you look at adding a satellite store. But if you open up a brand-new store, we're clearly going to expect bigger comps in the first few years as the store gets going.
Dan Galves - Deutsche Bank AG, Research Division: Okay. And I just want to clarify that you're basically saying that store traffic was essentially flat year-over-year.
Thomas J. Folliard: Yes.
Operator: And your next question is from Rick Nelson from Stephens.
N. Richard Nelson - Stephens Inc., Research Division: I just want to ask you about subprime at 21% of sales compared to 16% a year ago. How did the delays in the tax refunds effect that and how much opportunity to grow subprime do you see and how much less profitable is? And I think in the past, you've said about $1,000 per unit.
Thomas W. Reedy: I'll take those in order. As far as the shift over year, I think it was pretty minimal. It was a small part of the increase, but it was definitely not as what we saw. Subprime sales carry into the first quarter a little more strongly than we would have expected. As far as how high subprime can go, that is really going to be dependent on behavior of our partners and they're lending behavior and the traffic through the door and the quality of credit with our applicants. We don't influence or dictate how our lending partners are going to approve people or the types of offers they're going to give, so we're dependent on them on a go-forward basis. We've been very happy with the relationships. And I think how high it can go, it depends -- it really just -- it just depends. As far as the profitability, nothing's changed. It's about a $1,000 discount to where we see a traditional transaction.
Thomas J. Folliard: But just as a reminder, Rick, as we've talked about before, at that moment, that customer has been -- has no other alternative for credit, so all of our other lenders have decided not to offer them a loan. So at that moment, that customer for us, we believe, is pretty much 100% incremental. So although the profit might be lower, it's profit that we wouldn't have had otherwise. Additionally, I think we're the best place to buy a car for a credit customer in that category because we don't change our prices based on the fact that there might potentially be a higher repo rate. We deliver an exceptionally high-quality car. We do it in a transparent fashion. And for us, not -- everybody's credit changes over time and those customers become CarMax spokespeople. So we're very proud of the offering that we have and we're happy to provide credit offerings for all spectrums of credit from -- in all different tiers for our customers.
N. Richard Nelson - Stephens Inc., Research Division: Is it fair enough for [indiscernible] -- maybe to bring those kind of some of that subprime business fund to your own books?
Thomas W. Reedy: I think we're happy with the spectrum of credit we're buying today and -- but it's -- to the extent that becomes something that is an opportunity, we'll let you know. We're always looking at what we should be doing different in the business to the extent there is -- are things we should be doing.
Operator: And your next question is from Bill Armstrong from CL King & Associates.
William R. Armstrong - CL King & Associates, Inc., Research Division: To what extent do you think -- when we look at the Manheim index, about 5% lower than a year ago, to what extent do you think lower used car prices may be improving the value proposition that you guys are able to offer to customers and maybe improving your competitive position and perhaps contributing to that conversion rate?
Thomas J. Folliard: Yes, that's a really hard thing to gauge. If you look at our average retail, it's actually not down. So again, we're always kind of buying at the higher end of the used car spectrum, and 5% is not that big a move, particularly in the period of time we're talking about. So I would say, at this point, very little impact, if any.
Operator: [Operator Instructions] And your next question is from David Whiston from Morningstar.
David Whiston - Morningstar Inc., Research Division: A consumer behavior question for you. There's been some talk on the new vehicle production side of -- eventually the supply chain not being able to keep up with the growth in U.S. demand. So if that were to happen and there were some bottlenecks that were consumers who want to buy new can't, would you expect those consumers to go to a CarMax store to buy used or do you think they would just stay out of the market?
Thomas J. Folliard: That's really impossible to tell, but if you look at the growth in the SAR, it has actually decelerated, so I think the last -- so the last quarter was up 5%, and we've seen double-digit growth there in the last couple of years. So we're not looking at -- it doesn't look to us like new car sales are going so fast that manufacturers can't keep up with it.
Operator: And your next question is from -- a follow-up from Matt Fassler from Goldman Sachs.
Matthew J. Fassler - Goldman Sachs Group Inc., Research Division: It was great to hear about the increased penetration of mobile. Can you talk at all about whether you're seeing higher conversions from customers who were engaged in mobile and sort of your ability to track the impact that, that might be having on your business?
Thomas J. Folliard: Yes. We really can't. I mean, we can only track it. It depends how much information they give us. Any lead we get, whether it's just regular carmax.com or from a tablet or from a mobile, customers can go and search and do all kinds of stuff without giving us any information. If it translates into a lead where they call the store, they email the store, then it's a little bit more trackable. But I don't know exactly, but I don't think we've really seen a discernible difference between a mobile hit to the website or a regular hit to the website. I just think in general, consumers are going to -- I think obviously that what a touchscreen of some kind, whether it's a tablet or mobile, is continue -- is going to continue to be a bigger percentage of total hits to our website. So we have to make sure we have a great experience for the customer and a great offering for them, and we're very focused on that.
Operator: And I'm showing no further questions at this time.
Thomas J. Folliard: Okay. With no further questions, I want to thank all of you for joining. And I, of course, want to thank all of our associates for all they do everyday, and we'll see you at the end of the second quarter. Thanks.
Operator: And this does conclude today's conference. You may now disconnect.